Operator: Good afternoon, my name is Luke and I will be your conference operator today. At this time, I would like to welcome everyone to the Fourth Quarter and Fiscal Year 2015 Earnings Conference Call. All lines have been placed on mute to prevent any background noise. After the speaker's remarks there will be a question-and-answer session. [Operator Instructions] Thank you. Lauren Sloane, Investor Relations for Sphere 3D, you may begin your conference.
Lauren Sloane: Thank you, operator, and good afternoon everyone and thank you for joining Sphere 3D's earnings conference call for the fourth quarter and fiscal year of 2015. With me on the call today are Eric Kelly, Chairman and Chief Executive Officer; Kurt Kalbfleisch, our Chief Financial Officer; and Peter Tassiopoulos, our Vice Chairman and President. Prior to the call we distributed our Q4 and fiscal year 2015 earnings release over the wire posted services and I've posted it on our website at investors.sphere3d.com. The call is also being webcast and a replay will be available on the Investor Relations website of our website for 30 days. Before we begin, I would like to remind you that during today's call, we be making forward-looking statements regarding future events and expectations. We caution you that such statements reflect our judgment as of today, March 30, based on factors that are currently known to us and our actual future events and results could differ materially due to a number of factors, many of which are beyond our control. For a more detailed discussion of risks and uncertainties affecting our future results, we refer you to our filings with the SEC including the Annual Report on Form 40-S we filed earlier today which contains our Q4 and fiscal year 2015 financial results. Sphere 3D disclaims any obligation to update or revise these forward-looking statements to reflect future events or circumstances. During the call, we will also discuss non-GAAP financial measures unless we specifically say otherwise. The non-revenue financial measures we will discuss today are not prepared in accordance with Generally Accepted Accounting Principles. A reconciliation of the GAAP and non-GAAP results been provided in today's press release is posted on the investor relations section of our website. Before turning the call to management, I would like to remind listeners to visit the Sphere 3D Investor Relations website, to like to receive real-time email alerts on the company's financial news, including press releases, financial filings and corporate update. We also invite you to go to the in the news section of the Sphere 3D website to see the latest news coverage for media, analyst and our partners. With that, I'll turn the call to Eric. Please go ahead.
Eric Kelly: Thank you, Lauren, good afternoon and thank you for joining us today to discuss our fourth quarter and year end results. We are pleased with the progress we are making, transitioning the company to achieve our vision to create the complete cloud experience for everyone. And there are many positive developments that provide a deep confidence for a strong future for Sphere 3D. Though we have not yet seen many of these developments turn into a robust top line growth, we do expect to see them come to fruition based on some of the leading indicators in partnerships and customer engagements that we will be reviewing with you today. My confidence stems in part from the fact that we have received validation that our strategy is working. Sphere 3D has developed leading edge virtualization and containerization technology. And the company strategy to commercialize it was to acquire leading storage and hyper converge platform in IT. And then integrate the technology into product and solution set to drive the virtualization, application containerization and hybrid cloud storage revenue. Sphere 3D acquisition of V3 and Overland storage in 2014 have enabled us to see this vision come to reality which I will discuss in a moment. Our technological advantage is being cemented by increasing number of patents. We currently have 88 patents granted and 56 patents pending. We have recently been granted several key virtualization and replication patents and 60% of our patent pending are related to virtualization, containerization and storage replication technologies. We provide a unique hybrid cloud product portfolio that range from delivering application containerization solution that enable our customers the freedom to run their applications on any device to our desktop virtualization platform that dramatically improves the customer's ROI, increasing their user productivity and business continuity. Coupled with the industry's most scalable hybrid class storage solutions which enabled customer's to have an intelligent network attached storage and archive solution. That can be on premise or on cloud or anywhere in between. Our most recent announcement of SnapSync, an enterprise cloud sync and share solution for private, public and hybrid clouds is integrated with our SnapServers and SnapCloud on Azure storage with encrypted security, greater IP control of business critical data and anywhere access of data on any device. Let me share with you a few of the key metrics. For the full year Sphere 3D revenue increased to $76.2 million from $13.5 million year prior. Disk systems revenue increased to $39.8 million from $8.5 million a year prior. Disk systems are defined as RDX, the SnapServer family, V3 virtual desktop infrastructure and Glassware related products. 2015 fourth quarter revenue was $18.9 million compared to 2014 fourth quarter revenue of $9.5 million. Disk systems revenue increased to $11.2 million from $4.9 million. Today I would like to address the number of areas to help you understand the progress we have made, what we have been working towards and what the next year may hold. I want to address the launch of our next generation V3 virtual application and desktop solutions and the inclusion by VMware in their new product launch. Our collaboration with Microsoft on Azure and using it as the template for us for how we will build and grow our hybrid cloud business. A storage product update including SnapSync private cloud solution we announced today providing enterprise file sync and share for small and medium businesses as well as global enterprises. I also want to provide some insight into our pipeline. What you can expect moving forward and Kurt will later address the improvements we are making on our balance sheet. In February of this year we announced the expansion of our partnership with VMware where they included Sphere 3D as strategic partner for their new Horizon Air Hybrid-Mode product release formally known as Project Enzo. As such, we have closely integrated the V3 VDI platform with our Glassware appliances and in fact we can deliver Glassware containerized applications directly to users through the VMware Horizon portal or within the actual virtual desktop. Having completed this development, we are now able to deliver with VMware, deliver performance and scale in options while bring able to cater to the much large application ecosystem than our competitors. Some highlight about how we are positioning this includes that we are providing a workload optimized and distributed approach to virtual desktop infrastructures. Let's face it, businesses are not like Datacenters. Employees are not all in a single location. In reality many organizations have multiple offices requiring mobility and often use complex or out of date software and workstations. We have solutions that provide IT transformation for everyone from a small business of 10 users utilizing simple applications to multi-location large enterprises accessing complex, new and legacy applications. It's simple to deploy, simple to manage and add significantly lower total cost of ownership than traditional VDI solutions or physical desktops. We give our customers' ability to adapt and grow their VDI deployment to meet their change in demand and needs without the requirement to replace their current investment or existing infrastructure. The architecture is designed to incorporate when needed Glassware 2.0 appliances and SnapStorage solutions which contributes to the lower total cost of ownership I referred to earlier and allow for greater flexibility for those looking at hybrid solutions. Having vertically integrated our technology stack into our virtual offering that can support a holistic approach to digital transformation is our answer to driving adoption. We know this is what customers have been requesting for a decade and strongly believe that this is what uniquely distinguishes us from other offerings in the market. Now to support this anticipated growth from this VMware partnership in 2016, we have begun expanding our ecosystem of V3 and Glassware released certified and trained system integrators and reseller partners as well as selecting key partners with our global network or resellers and system integrators. Now as you know last year we partnered with Microsoft as part of our transformation to allow us to provide hybrid cloud solutions. Today, we have launched the first Glassware 2.0 based product within a public cloud. We have also launched our first virtual storage offering for the cloud called SnapCloud. Both SnapCloud and the G Series cloud offerings are available in Microsoft marketplace as of today. In December 2015, Sphere 3D and Microsoft kicked off a joint marketing campaign as a 90 day proof of concept to drive customer's option of Sphere 3D G Series and SnapCloud virtual storage in Azure. This joint campaign targeted a subset of our customer base that uses our on premise SnapServer premise solution in the United States. This program was focused on small and medium enterprises through the Azure marketplace and has helped us validate the crowd go to market and customer engagement programs. Our cloud storage initiative with Microsoft Azure has delivered an over 150% growth in SnapCloud trial users from October 2015 through February 2016. Our Glassware numbers have been about a 100% increase in virtual machines provision from December 2015 to March 2016. Now with over 3 years of innovation from Overland and Tandberg data in the storage industry combined with our unique scalable virtualization technologies. We are proud to continue the history of innovation. Again leading the industry and combining the technologies into advanced Hybrid cloud solutions. Today we announced SnapSync, our enterprise class sync and share software solution that is secure, private with real time file sharing that runs on our SnapServer and as well our cloud based SnapCloud. With SnapSync users can synchronize share and access files and folders on any size from anywhere on any device, regardless of the storage limitations on the target device and provide a superior ROI than the known public cloud based box storage products. SnapSync distinguished itself by providing superior security features, centralized IT control of data with immediate disaster recovery and backup. It can be deployed as a business secure private data cloud by implementing it on premise or in Azure cloud or as a hybrid solution that combines both. During the quarter, our RDX QuikStation 4 won a highly coveted PC Pro recommended award. Further evidence that we continue to innovate in storage solutions. The RDX QuikStation 4 is a flexible, removable disk array that we announced in November 2015 that provides automated data protection, on site disaster recovery and archiving. The RDX QuikStation 4 also recently received its first design win from a Tier 1 OEM. We expects to the shipments to the OEM to begin later this calendar year. In addition, the last quarter RDX QuikStore, the flagship RDX product was chosen by a large international hotel chain which has over 500 locations. As we continue to develop our storage and virtualization solutions, we continue to tightly manage our cost structures to most efficiently utilize our balance sheet. Over the course of the year, we have focused on cost rationalization, acquisition, integration, the re-allocation of resources and employee skill sets that fits the needs of our new business. As far that effort we have enhanced the expertise of our sales and professional services teams to focus on the solutions that are central to the company's future virtualization, containerization and hybrid cloud storage. At the same time we are able to maintain our operational efficiencies as we previously announced. So with an anticipated improved capital structure in place and the elimination of 100% of our short term debt, some very significant partnerships creating greater awareness of Sphere 3D, what can we expect from the company but before I go into that what I would like to do is pass it onto Kurt to give you an update on financials.
Kurt Kalbfleisch: Thank you, Eric, and good afternoon everyone. Let me provide some details on our financial results for the fourth quarter and full year. Please note that the following financial highlights for 2015 reflect the addition of the Overland business and operations and the addition of RDX products acquired August 10 for the full quarter. Total revenue for the fourth quarter of 2015 was $18.9 million up from $18.8 million from the third quarter of 2015 and up from $9.5 million in the same quarter 2014. OEM revenue for this quarter was $3.3 million compared to $3 million in the preceding quarter with branded product revenue of $13.3 million compared to $13.1 million in the third quarter. Warranty and service revenue was $2.3 million in the fourth quarter compared to $2.7 million in third quarter of 2015 and $0.9 million in the same quarter of 2014. Regionally the branded product revenue was 16% in APAC, 26% in Americas and 58% in the EMEA. Total product revenue for the fourth quarter was $16.6 million up from $16.1 million in the preceding quarter and up from $8.6 million in the same quarter from the prior year. Details on product revenue: DISK system revenue was $11.2 million in the fourth quarter up from $10.1 million in the preceding quarter an increase of 10.9% over the third quarter and up from $4.9 million in the fourth quarter of 2014. Tape Automation, Tape drive and other related revenue was $5.4 million in the fourth quarter compared $6 million in the third quarter of 2015 and up from $3.7 million in the fourth quarter 2014. Our gross margin for the fourth quarter was 28.5% compared to 29.2% and 37.6% for the fourth quarter of 2014. Gross margin includes the amortization of intangible assets and cost of goods sold in the amount of $0.6 million in the fourth quarter of 2015 and $0.7 million in the third quarter of 2015. When excluding the amortization relating to the intangible assets the gross margin was 39.1% for the fourth quarter 2015 and 33% for the third quarter. As for the full year total revenue for 2015 was $76.2 million compared to $13.5 million in 2014. Total product revenue for 2015 was $65.5 million compared to $12.2 million in 2014. Warranty and service revenue of $10.7 million or 14% of total revenue in 2015 compared to $1.3 million of 9.6% of total revenue in 2014. Disk Systems revenue for 2015 was $39.8 million compared to $8.5 million in 2014. Revenue in 2015 from tape automation and tape related products is $25.7 million compared to $3.7 million in 2014. Our gross margin for 2015 was 29.7% compared to 39.6% for 2014. The decrease in margin on annual basis was due to our transition to a company with worldwide operations with significant increase in product sales as a result of the acquisition of Overland in December 2014. During the fourth quarter of 2015, the company concluded that it's lower net revenue due to the timing of projected growth of products and the integration of channel partner relationships from the acquisition of Overland could be indicators of impairment therefore, the company had a third party impairment analysis performed and as a result of the analysis the company recorded impairment related to the acquired intangible assets from the Overland acquisition of $10.7 million of which $1.7 million related to developed technology, $4.1 million to channel partner relationships and $4.9 million related to trade names. The majority of the impairment was related to the Snap product lines. Total operating expenses excluding share based compensation of $3 million and impairment of acquired intangible assets of $10.7 million for the fourth quarter or $11.3 million compared to $11.9 million in the third quarter and $7.8 million in the same quarter last year. $11.3 million or fourth quarter operating expenses is broken down as $5 million in sales and marketing compared to $4.9 million in third quarter, $2.1 million for research and development compared to $2 million in the third quarter and $4.2 million in G&A compared to $5 million in the third quarter. G&A expense of third and fourth quarter include approximately $800,000 of amortization related to intangible assets. The operating expense excluding share based compensation and impairment of acquired intangible assets for the full year 2015 was $49.8 million compared to $14.1 million in 2014. The increase is due to acquisition of Overland beginning December 1, 2014. Depreciation and amortization expense in the fourth quarter of 2015 was approximately $1.7 million compared to $1.8 million in the third quarter and $1.1 million in the same quarter last year. For the year depreciation and amortization totaled $7.5 million compared to $3.5 million in 2014. The net loss for the fourth quarter of 2015 was $18.6 million including the $10.7 million from impairment of acquired intangible assets or a loss of $0.44 per share compared to a loss of $10.2 million or $0.26 per share for the third quarter 2015 and a net loss in the same quarter 2014 of $5.4 million of $0.20 per share. Adjusted EBITDA which includes intangible assets impairment, warrant liability revaluation, share based compensation expense and acquisition cost in addition to interest and taxes, depreciation and amortization was negative $4.4 million of a loss of $0.10 per share for the fourth quarter compared to negative $4.6 million or a loss of $0.12 per share in the third quarter. The net loss for the year was $47.2 million including $10.7 million from impairment of acquired intangible assets or a loss of $1.24 per share compared to a loss of $12.7 million or $0.53 per share in 2014. Adjusted EBITDA as previously defined was negative $20.5 million or a loss of $0.54 per share in 2015 compared to negative $3.4 million or a loss of $0.14 per share for the third quarter. On the balance sheet total cash and cash equivalents at December 31 was $8.7 million compared to $4.3 million at the end of 2014. At December 31 we had $17.4 million outstanding under our credit facilities and $19.5 million outstanding under our convertible notes. The company has entered into a non-binding proposal with a commercial bank, with proposed terms that the bank can provide us up to $20 million in debt financing. The company is in the process of negotiating definitive documentation for the proposed financing with the bank and finalization will be subject to a number of customary closing conditions. But assuming the closing of the financing, we expect to use portions of the proceeds to repay our existing credit facility with Silicone Valley bank which as of today is approximately $6 million and also repay $5 million of our related party credit facility with Cyrus Capital Partners. Also, contingent on the closing we have reached preliminary agreement with Cyrus to move the remaining $5 million under the related party credit facility to mature in 2018 and basically the same terms and conditions of our outstanding convertible node. As I stated the agreement is not yet complete but if we enter into the agreement it would have the effect of refinancing all of our short term debt currently on the balance sheet and eliminate any of our existing debt coming due in 2016. In addition, we announced today an equity warrant exchange resulting in approximately $3.7 million of cash proceeds. The terms of the exchange reflected equivalent equity financing with an approximate 6% discount based on today's price and 38% in warrant coverage. With that I will turn the call over to Peter.
Peter Tassiopoulos: Thank you, Kurt. First of I sound a little repetitive to some of you that have been on our calls before. I apologize in advance. But I did want to quickly address couple of updates and clarification around the technology products and what got us here. I am going to start with Glassware. We pioneered the development of the first container for Windows based End User computing applications. We call it Glassware 2.0 and it's an alternative to traditional virtual technologies for server based computing. Its high performance, high density and highly scalable server based platform and it was designed to achieve significance performance advantages over alternative approaches. It's also designed for greater success in migrating physical hosted applications. Just like those that will be on you PC today, it's a virtual environment. I don't plan on getting into a deep technical dive but encourage you to check into some of our blogs and watch for new ones. I did however, wanted to clarify that Glassware is a technology and not a product name. When we started out a few years ago, naturally we have referred to everything in Glassware development cycle so we will take some ownership here for that full part for sure. The way to look at Glassware is that there is a number of unique components that can be bundled to create products or whose architectural unique capabilities can add value to other products. Because at a later point many of the Glassware components an architecture are finding their way into other parts of our portfolio. There are a number of Glassware components including stuff that has been talked here like containers and micro-visors etcetera. And I am not going to go into that list today. However, I do want you to understand that we do not sell the components as a standalone licenses instead we create a stack of various components. We then bundle them with specific hardware to create an appliance product or re-mount this stack in a virtual machine so it can operate in a public cloud and therefore be offered as a cloud product. For this reason, the components and capabilities of these products created with Glassware will vary from product to product based on its intended use case. Just a quick example and also clarify a couple of questions that I have had more recently. The software component in our G Series appliances and the underlying hardware is different than the software components in G Series cloud and the underlying hardware in Azure's data center. So just because you cannot run a specific application Azure does not mean you cannot run it on Glassware. It means you cannot run it in G Series cloud. G Series appliance are different iteration built with different version of Glassware and matched to other hardware components. They are simply created for different use cases. I will move on here and talk a little bit about V3 branded products. When we acquired V3 we expanded our technology for industry knowhow for productizing, converged and hyper converged infrastructure specifically around virtual environments for VDI. We are also able to get a unique platform for the introduction of appliances that would be able to handle application virtualization and that can incorporate Glassware and other storage solutions. VDI deployments are constrained by the storage layer which is why most of convergence structure actually starts by addressing storage bottlenecks and it's built up from there. V3's unique way of accessing local storage is just one of the reasons that are virtual desktop will outperform most physical PC's and I hope you can start to see how that ties into the Overland acquisition and some of their technologies. So just a little bit about V3's technologies. We provide a very simple VDI architecture that's made possible by a number of our proprietary software enhancements. We have tightly integrated these technologies with the latest in virtual desktop technologies in industry leaders like VMware that will enable a host of expanded capabilities versus deploying a server just running a HyperVisor or other VDI technology alone. We also gleam from our Glassware architecture new features. One I mentioned today is our dynamic approach for resource scheduling. Example in layman's terms, if you think about in physical desktop terms, if you are creating a huge document or editing a video or need to have a dozen tabs open on your PC naturally your PC's going to slow down. What if your IT guy could walk over, tap you on the shoulder, hand you a more powerful PC? Use it while you need and then he retrieves it when you are no longer using it and has access to that same PC to give to someone else. We call that ARS or Autonomous Resource Scheduling. This and a host of other software technologies are integrated an administered through a product we call Desktop Cloud Orchestrator or DCO for short and it's what drives a lot of our VDI technology. Lastly, we are now able to provide a holistic approach for virtual application desktop deployments as Eric mentioned earlier, we have integrated the Glassware appliances into the V3 architecture. And we can deliver Glassware virtualization applications from the same BMO Horizon portal that users use to login and gain access to their virtual desktops. This took a bit of time to accomplish but we feel this is a significant step for our delivery of virtual desktop and applications to both new and existing VDI deployments. The next major milestone in creating the Sphere 3D up to date was our acquisition of Overland. Through the acquisition, we acquired a portfolio of technology including proprietary operating systems for NAS and some of the peer set data management technologies some of which you heard about today through the press release. Since completing this acquisition, we have worked diligently to integrate various components of all our technologies across the portfolio. Some of this took a little longer than we would have liked but we have made some great progress in this regard and have been announcing the new portfolio in the last few months. We have also taken our cloud strategy, refined it and are applying it across our entire portfolio. Again, including Eric mentioned earlier in reference to SnapCloud but there are other examples of unifying this product strategy including are already excluded this portfolio can use public cloud providers as a target for backup. Our Snap line can now be deployed as a standalone private cloud with the use of SnapSync's share technology for file collaboration. I am hoping you are starting to see how these are coming together and cross pollinating and becoming full solutions for our customers. In summary, by taking the different technologies, approaches and skillsets that are not traditionally found in organizations of our size, we are able to produce a much deeper roster of products with greater capabilities to help our customers. We are very proud of this and tend to continue further leverage the entire IP portfolio to innovate going forward. From my perspective and in retrospect 2015 was a year of major transition with some tough hurdles that had to be cleared, some operating synergies that had to be achieved and some product portfolio rationalization that had to be completed. We took this challenge on, completed it to ensure that we are able to provide the latest innovations and support our customers as well as solidify the foundation for growth. I could go on about technology, those who know me, I could probably talk about it for hours but I am going to make sure I leave plenty of time so I am going to turn this back over to Eric at this point.
Eric Kelly: Thank you, Peter. With the improved capital structure that Kurt described including the elimination of 100% of our short term debt and the improved go to market with some of our very significant partners creating greater awareness of Sphere 3D, what can we expect from the company? First, we expect that our completely revamped and competitive V3 solutions coupled with our expanded partnerships to drive sales of our hybrid cloud solutions. And in fact since the announcement of partnership with VMware our converged infrastructure pipeline has increased tenfold. We also have commitment for a dozen proof of concepts we feel we see the range and value for average approximately 50,000 each. Second, we expect the new staff offering with effective pricing that ranges between $599 and $999 per user per month for a complete solution including SnapServer on premise and SnapCloud on Azure or both to add additional recurrent revenue streams to our business. Third, we are seeing some very exciting things happen at the direct customer level. Just in the fourth quarter we had sales to more than 30 Fortune 500 companies and more than 60 large household known brands. And we have used those opportunities to evangelize Sphere 3D and the benefits we can bring with the hybrid cloud offering. Also, our partnerships with industry heavy weights have given us access to large multi-million dollar opportunities with large corporations. These opportunities were we were not considered before. We continue to amass a roster very strong go to market partners. We are being told that the opportunities to work with them is because of our technology and our integrated product portfolio which compliments their product and service offerings. As is always the case, these large entities take time to mobilize but much of the work has been done. With that said frankly we expect to save the value in our technology and investment in these partnerships to improve our income statement. Given that we are at the end of our calendar first quarter, we expect the first quarter top-line similar to the fourth quarter 2015. However, we expect to see significant customer adoption of our new technology compared to the previous quarter. At this time I would like to turn the call over to the operator to open the lines for questions.
Operator: [Operator Instructions] Your first question comes from the Daniel Amir of Ladenburg, your line is open.
Daniel Amir: Yes, thanks a lot. Thank you for taking my call. So, a couple of questions here. First of all in terms of the ramp here given that you are expecting Q1 to be similar to Q4, should we expect a bigger hockey stick later on in the year, is this as you expected a couple of quarters ago? Because it seems like that previously you might have communicated you would start seeing a bigger revenue ramp by this point so it will be great to get a little clarification on that? Thanks.
Kurt Kalbfleisch: Daniel, thanks for the question. What we expected was that to have a hockey stick a little sooner. But what we are seeing with the number of PLCs that we have deployed, the large deals that we are seeing and we do see that when 2016 ends we think we will be hitting the numbers that we expect. But the good news is we have with our partnerships felt with Microsoft and VMware, the partnerships that we are developing through a broader ecosystem, we see a pretty healthy pipeline as I mentioned our pipeline has gone up 10x since we announced the partnership a few months ago.
Daniel Amir: So, in terms of the overall customers I guess, which we should expect coming here over from VMware and Microsoft relationship, can you give a little more quantifying how you achieved the ramp in the next few quarters from the newer ramps?
EricKelly: Yes Daniel, we haven't given guidance in terms of what quarter-by-quarter but what I can share with you is typically with the, when you bring on PLCs you bring on with the large customers and large multi-million dollar deals, you see that evolving over time. So you start with the PLC, they adopt the technology and then you start seeing the ramp but we haven't given out any specific numbers. I don't know if you want to add to that Peter?
Kurt Kalbfleisch: Daniel, this is Kurt, I would like to just kind of reflect this increase in pipeline gives us good confidence with the growth coming and we expect there to be growth in Q2 but we expect majority to be in the second half of the year.
Daniel Amir: Okay great and then last question is just on the competitive environment. Have you seen any changes here in the past quarter or since you launched with respect to the competitive environment? Thanks.
EricKelly: Yes, Daniel. I will take that. The competitive environment is pretty much what we expected and I think what we are seeing with our new technology, our portfolio, we actually are very well positioned with the competitors but yes, no surprises from that standpoint, thank goodness right?
Daniel Amir: Okay great. Thanks a lot. I will get back in the queue.
EricKelly: Okay great. Good talking to you.
Operator: Your next question comes from the lines of Krishna Shankar from ROTH Capital, your line is open.
EricKelly: Hi, Krishna.
Operator: Krishna Shankar, your line is open.
EricKelly: Looks like we may have lost him.
Operator: Your next question comes from the line of Mark Wheeler [ph], private investor. Your line is open.
Unidentified Analyst: Hi Peter, I've got two questions for you. The first is, we haven't heard anything on this call about Novarad and your partnership with them, and what's happening there? Could you give us some color with that, with some details there?
EricKelly: Sure Mark, I would pass it over to -- first of all, good talking to you. I'll pass that over to Peter.
Peter Tassiopoulos: Yes, absolutely. I assume you may be aware we are at hands with Novarad presenting some of the new capabilities that we talked about today. People did get a chance to see ability to deliver VDI and glassware of a single portal and be able to actually get a 100% of their applications across with whatever is most efficient for it. From a financial perspective, I think it falls into the guidance side, it's kind of difficult for us to give any guidance on where Novarad is. We did go back, we did -- even call it a full reset but we did definitely changed the product portfolio to include the full VDI as well as the glassware piece within their offering in order to make sure that we can address a 100% of what they were looking for which is in keeping with what their expectations were as they went out to the field and realized that they could actually deliver a much larger offering and a much deeper offering into the IT departments that they were selling into. So we'll obviously keep you guys updated on the Novarad side, and I believe that you guys will see some blogs as well as some video from the show pretty shortly.
Unidentified Analyst: Okay, thank you very much. And the next question is just on financing. It looks like you've cleaned up the balance sheet with this and do you anticipate that this will be enough money to get you to breakeven or profitability, have you anticipated any future financings?
EricKelly: I'll give that one to Kurt.
Kurt Kalbfleisch: Yes, this is Kurt. The completion of the proposed bank financing will go long ways to cleaning up the balance sheet as you noted and at this point we don't have anything post cleaning that up that would reflect any necessary financing.
Unidentified Analyst: Okay, fair enough. All right, that's all for me. Thanks so much.
Operator: Your next question comes from the line of Hubert Mak from Cormark Securities. Your line is open.
Hubert Mak: Hi, guys.
EricKelly: Hey, Hubert, how are you doing?
Hubert Mak: Good. My first question is just regarding the write-down here on the intangibles. I think I heard that part of it is related to sort of partner channel. Is there any way you can secure a little more color to cause of this write-down because one of the things I thought that the acquisition was also the channel which has helped you push that sort of integrated conversion products. So I'm just trying to understand what's causing this sort of write-down on intangibles.
EricKelly: Great question, Hubert. Kurt, you want to start with that?
Kurt Kalbfleisch: Yes, Hubert, this is Kurt. The issue around it is primarily timing. And at the time of the acquisition of Overland, there is obviously a significant amount of acquired intangible assets that were put on the balance sheet. And so as we went through our year end reviews, we felt it was appropriate to review it and through the third-party review, there was some impact and again, it's not because that the channel has lost value, a lot of it is related to timing and changing in some of our focus in how we leverage that channel.
Hubert Mak: So is it technology or is it just a go-to-market strategy? I'm just still…
Kurt Kalbfleisch: The way that it was broken down was into three buckets, it was -- there was a very -- the smallest amount was related to developed technology and all this is acquired technology through the Overland acquisition. The remainder was split relatively evenly between partner relationships and trade names. And so those were the three pockets of the intangible asset write-down.
EricKelly: Okay. If I can give you a little color as well, just to understand Hubert. We made a lot of shifts to the portfolio we talked about rationalizing some of the portfolio, we've talked about, we've exited to certain degree most of the media side of our business. In addition to that, the new products that we announced with B3 includes SmartNotes. SmartNotes support B7 which kind of makes it redundant to have all these trademarks around our own product, right. And so a lot of it has to do with some of the rationalization around the portfolio as well and on the channel side, we made it pretty clear that we are focusing on a smaller subset of our channel partners so that they have greater degree of success, naturally that means the channel value from a shared numbers perspective would drop. Now I hope that adds a little bit of color?
Hubert Mak: That's helpful. I guess the other question is on the revenue side, I know we all try to understand how the growth trajectory is going to happen. Would you sort of -- the quantity of the quality of some of the larger deals, when they are going to -- I guess, give you a meaningful lift and how that pipeline is building and where it's going to be coming from in terms of the partnership, is it primarily going to be Microsoft, same way you can just kind of give us some color on that?
EricKelly: This is Eric. As I mentioned, our pipeline is growing significantly. I mean I mentioned that the next move in our pipeline is pretty dramatic. The deal sizes are increasing as well but at this point we can't really project or predict it's going to close this month or two months from now. So We can't really give you that much guidance but what I can share you just from the indications that we're getting, with our pipeline increasing, the deal size increasing, the number of customers that we're now engaged with, with our strategic partners, Microsoft and VMware, that previous to those partnerships; we weren't involved in. So I mean all of the signals are giving me a lot of confidence in terms of what we're doing and the strategy that we're deploying but melting it down to a specific date and time, I don't think I want to do that at this point.
Hubert Mak: Okay. And I just want to clarify, the 10X here, is that year-over-year or when is the time in terms of how -- just that part.
EricKelly: No, that's right. We're saying that 10X improvement in our pipeline has derived since we launched the partnership with VMware.
Hubert Mak: So we're talking quarter-over-quarter?
EricKelly: Yes, yes.
Hubert Mak: Okay. And lastly, this PLC, like how -- typically, how does it convert in terms of having -- like, it takes six month period, one year period based on experience?
Peter Tassiopoulos: I can handle that one Eric. PLC is rolled into pilots, right, and pilots rolled into full on deployments. And don't consider the pilots to be necessarily small sized transactions either. So there is a timeline. Now one of the reasons in part of our strategy and what we've done hopefully is visible with some of the new product integrations we've done, is we're able to insert ourselves -- I mean some of our pipeline has come from deals that started three months ago, four months ago, six months ago, that suddenly we got invited to come in and produce competitive versions of what they're looking for. And so we kind of circumvent the sales cycle by having this ability and that's why the reason of pipeline is coming in. So you will see PLC turning to pilots, you'll see pilots that were based on third-party technologies get augmented with our technology and suddenly we end up in the second phase as part of it. So if you look at the traditional sales cycle for VDI, small scale, three months; large scale, nine months; we're able to insert ourselves beyond the initial contact into middle of it and that's one of the reasons why we've got this high level of confidence as what's going to happen next.
Hubert Mak: Okay, great. I'll go back in queue. Thank you.
Operator: Your next question comes from the line of Krishna Shankar from ROTH Capital. Your line is open.
EricKelly: Hey Krishna? We keep losing him.
Operator: Krishna Shanker, your line is open.
Krishna Shanker: Can you hear me, Eric?
EricKelly: I can Krishna, how you're doing?
Krishna Shanker: Good. So for 2016, can you quantify or give us some sense of the growth driven by VMware versus Microsoft as your development contributions of the two partnerships? And what type of customers are deploying VMware versus what you're seeing with Microsoft is your deployment?
EricKelly: Great question. Krishna, I don't have the breakout for you but I can tell you it's the different type of -- it could be one of the customer's go-to-market strategy to deliver it but with Microsoft it's really around the platform. They are both, that want to be in the cloud leveraging the marketplace and looking for kind of a consumption model. The VMware solution is really around delivering it on premise and there are some hybrid solutions as well using VSN but primarily it's on premise. So little bit different focused and the customers that are looking for cloud, some of them looking for on premise and this is the reason why the two partnerships are so important because they allow them to deliver a full hybrid cloud offering where they can actually, for example, have storage on premise of have storage in the cloud where we have glassware, our G-Series in the cloud and we have glass, we're going to create it into the VMware portal and their platform. But we haven't really segmented that as of yet Krishna.
Krishna Shanker: Okay. And then third, at a high level given that you would expect growth to resume in Q2 and accelerate in the second half, would you expect significant revenue growth for 2016 versus 2015? And can you also comment on what gross margins are likely to be qualitatively in Q1 versus the recently ended quarter?
Kurt Kalbfleisch: Yes, Krishna, let me -- I will try to get to that, it's going to be difficult for me to reference how large the growth will be based on what you're looking forward. We do expect to see some growth in Q2 and then more significant growth in the latter half of the year based on the pipeline and how we're seeing these deals hopefully start to line up. In regards to margins, I think that will fall as well in regards to the product mix and I think that we'll see -- I think it will be relatively stable in Q1 along with the top line being in that range, and then I think that they will start to continue to improve again in the latter half of the year.
Krishna Shanker: Okay. And what is the share count we should assume for Q1? And then in Q2 assuming -- I mean you've had this recent warrant deal, and then can you give us a sense of how we should model share counts going forward?
Kurt Kalbfleisch: Yes, in Q1 I think it would be about $40 million to $45 million for Q1 on an average basis. After that I think you'll get the effect of what we did and that should move it up about $3 million.
Krishna Shanker: Okay. All right, thanks. And then any significant changes in OpEx trends going into Q1 and Q2?
Kurt Kalbfleisch: I don't think you'll see anything significant. We talked previously about the reductions we've made, second half of 2015 versus first half was about 13% reduction. And I think we'll have probably another 5% over the course of the first half of 2016 but I think that's where it will stabilize based on the plan we have now.
Krishna Shanker: And you mean a 5% reduction. Correct, Kurt?
Kurt Kalbfleisch: Correct, a 5% reduction in the first half of 2016 compared to the latter half of 2015.
Krishna Shanker: Okay. Good, thank you. That does it for me.
Kurt Kalbfleisch: Thank you, Krishna.
Operator: There are no further questions at this time. I turn the call back over to presenters.
Eric Kelly: Thank you, operator. I would just like to say in closing, our partnership with Microsoft and VMware continue to expand and get stronger every quarter. I'll encourage you to take a moment and go to our website, in the news section of our website, and view the VMware horizon air announcement highlighting Sphere 3D. The converge infrastructure pipeline as we discussed has increased ten-fold in the last few months. And I anticipate the improved capital structure in place that will eliminate 100% of our short-term debt. This gives me even more confidence that our strategy in transforming the company to a leader and enterprise cloud infrastructure is working and we return value to our shareholders. Again, I would like to thank you for joining the call today. And operator, this will conclude our earnings call. Thank you.
Operator: Thank you for your time. You may now disconnect.